Operator: Good afternoon, and welcome to the Republic Services Third Quarter 2017 Investor Conference Call. Republic Services is traded on the New York Stock Exchange under the symbol RSG. All participants in today's call will be in listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Nicole Giandinoto, Vice President of Investor Relations.
Nicole Giandinoto: Good afternoon, and thank you for joining us. I would like to welcome everyone to Republic Services third quarter 2017 conference call. Don Slager, our CEO; and Chuck Serianni, our CFO, are joining me as we discuss our performance. I would like to take a moment to remind everyone that some of the information we discuss on today's call contains forward-looking statements, which involve risks and uncertainties and may be materially different from actual results. Our SEC filings discuss factors that could cause actual results to differ materially from expectations. The material that we discuss today is time-sensitive. If, in the future, you listen to a rebroadcast or rerecording of this conference call, you should be sensitive to the date of the original call, which is November 2, 2017. Please note this call is the property of Republic Services, Inc. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Republic Services is strictly prohibited. I want to point out that our SEC filings, our earnings press release, which includes GAAP reconciliation tables and a discussion of business activities, along with the recording of this call, are all available on Republic's website at republicservices.com. And finally, I want to remind you that Republic's management team routinely participates in investor conferences. When events are scheduled, the dates, times and presentations are posted on our website. With that, I would like to turn the call over to Don.
Donald W. Slager: Thanks, Nicole. Good afternoon, everyone and thank you for joining us. Our third quarter results continue to demonstrate the effectiveness of our strategy, solid price and volume growth, as well as continued strength in our energy services business, and progress on our multi-year initiatives helped us achieve high single-digit growth in both earnings and free cash flow per share. Highlights of the quarter and nine months ended include adjusted EPS of $0.67, an 8% increase over the prior year, despite a $0.01 headwind from hurricane related costs. Our results were positively impacted by solid execution across our business and a lower tax rate. In July, we raised our EPS guidance range to $2.36 to $2.39, despite the recent decline in recycled commodity prices and costs associated with the hurricanes, we remain very well-positioned to achieve the upper-end of the range. Year-to-date, adjusted free cash flow was $606 million, a 12% increase over the prior year, after normalizing for the change in cash taxes. On a per share basis, adjusted free cash flow increased 14% over the prior year. Free cash flow was in line with our expectations and we remain well positioned to achieve our full year guidance of $875 million to $900 million. Adjusted EBITDA margin was 28%, total revenue grew 6.3%, core price was 4.1%. Average yield was 2.5% and was strongest in our small container and large container businesses, were the majority of our customers are in open markets. The reported volumes increased 1.6%. Our volume growth continues to be broad-based and is strongest in the event-driven portion of our disposal business. Energy services revenue was $40 million, an increase of 130% versus the prior year. As part of our revenue enhancing initiatives, we now have approximately $510 million in annual revenue that uses a waste-related index or a fixed rate increase of 3% percent or greater for the annual price adjustment. These waste indices are more closely aligned with our cost structure and have historically run higher than CPI. Year-to-date we've invested $385 million in acquisitions including ReCommunity which closed in early October. The investment in ReCommunity enables us to further vertically integrate our recycling operations without adding capacity in our existing markets. To meet the demands of our customers who have told us recycling is important to them and have also demonstrated a willingness to pay, and to continue to capitalize on secular trends such as the growth in online shopping. Acquisitions remain a core component of our growth strategy and help us improve our operating density and further strengthen our existing market positions. Our pipeline for the remainder of 2017 and into 2018 is robust and will serve as a catalyst for future profitable growth. Year-to-date, we returned $682 million of cash to our shareholders as part of our efficient capital allocation strategy. This includes 5.7 million shares repurchased for approximately $357 million. Additionally, our board approved a $2 billion increase in our share repurchase authorization which extends through 2020. This demonstrates the strength and confidence we have in our ability to grow free cash flow as well as our commitment to increase cash returns to shareholders, while maintaining our investment grade credit rating. Next, I'd like to discuss some recent events. First, with respect to the hurricanes, we are happy to report that all our employees are safe. In addition, we did not incur any material damage to our assets. Our third quarter results include cost associated with the hurricanes, which were partially offset by revenue from cleanup related work. In the fourth quarter, we expect storm-related revenue to offset additional costs. I'm extremely proud of the Republic team and would like to thank them for their tireless efforts to care for each other, service our customers, restore our communities and protect our assets. I would also like to acknowledge the generosity of our employees and board of directors, who have contributed $0.5 million to our Employee Relief Fund. With the company's matching donation, the fund has an additional $1 million to further support employees in their time of need. Second, I'd like to provide Republic's perspective on the recent increase in volatility in recycled commodity prices following China's announcement of its National Sword program. From July to the beginning of October, published OCC export prices declined 52% from a high of $237 per ton to $113 per ton. Since then, prices have rebounded nearly 45% and are now above the 10-year average. In the past, when comparable programs were implemented, we also saw a temporary increase in pricing volatility. We believe the recent volatility is again temporary and the pricing we saw in early October is not indicative of a new normal. Also, we haven't seen a structural change in the demand for packaging or recovered fiber and believe that continued growth in e-commerce and online shopping will further increase demand. At Republic, we produce a high-quality product and have established relationships with contracts with some of the largest most reputable buyers and mills across the U.S. and China, as well as Indonesia, Thailand, Korea and India. As a result, we've continued to sell our material without disruption to our partners across the globe and have not warehoused or landfilled any recovered material. Recent events reinforce our efforts to transition to a durable fee-based model and the need for additional public outreach and education to reduce the amount of recycling contamination of low-value material in the recycling waste stream. Looking-forward, we expect our average recycled commodity price in 2018 to decrease relative to 2017, yet remain above our 10-year historical average price. We expect a $0.01 to $0.02 headwind from recycling in the fourth quarter and a $0.04 to $0.05 headwind into 2018. We will provide an update on recycled commodity prices on our fourth quarter earnings call in February. Finally, in September, Republic was named to the gold standard of sustainability rankings for a second consecutive year. We were the only recycling and solid waste company in the world to be named to either the Dow Jones Sustainability North America or World Indices. We share the view of our customers and shareholders who have told us sustainability is important to them. We believe it drives profitability, reduces enterprise risk and enhances long-term value creation. Chuck will now discuss our financial results. Chuck?
Charles F. Serianni: Thanks, Don. Third quarter revenue was approximately $2.6 billion, an increase of $153 million or 6.3% over the prior year. This 6.3% increase in revenue includes internal growth of 5.9% and acquisitions of 40 basis points. The components of our 5.9% internal growth rate are as follows. First, average yield increased 2.5%, average yields in the collection business was 3.1%, which included 4% yield in the small container business, 3.1% yield in the large container business and 1.9% yield in the residential business. Average yield in the post-collection business was 1.3%, which included landfill MSW of 1.8%. Total core price, which measures price increases less rollbacks, was 4.1%. Core price consisted of 5.1% in the open market and 2.3% in the restricted portion of our business. This is the second consecutive quarter we've seen a sequential improvement in restricted core price. The second component of our internal growth rate is total volume, which increased 1.6% over the prior year. Volumes in the collection business increased 10 basis points. This included a 1.8% increase in our large container business, partially offset by a 1.3% decrease in our small container business. Residential collection volumes were flat versus the prior year. Small container volumes included a 130 basis point impact from intentionally shedding certain work performed on behalf of brokers, which we view as non-regrettable. Excluding these losses, small container volumes would have been flat versus the prior year. Within our large container business, temporary C&D hauls were up 4% and recurring hauls were up 1.2%. The post-collection business made up of third-party landfill and transfer station volumes increased 9%. Landfill volumes increased 10.1%, which included special waste of 24.7%, C&D of 14.5%, and MSW of 20 basis points. In the fourth quarter, we expect a seasonal decline in C&D and special waste volumes. The third component of our internal growth rate is fuel recovery fees, which increased 30 basis points. The increase relates to rise in the cost of fuel. The average price per gallon of diesel increased to $2.63 in the third quarter from $2.38 in the prior year, an increase of 10%. The current average diesel price is $2.82 per gallon. The next component energy services revenue increased 80 basis points. The growth in energy services revenue is primarily due to an increase in drilling activity in the Permian Basin, where we are well-positioned. And the final component of our internal growth is commodity revenue , which increased 70 basis points. The growth in commodity sales revenue primarily relates to an increased recycle commodity prices. Excluding glass and organics, average commodity prices increased 26% to $167 per ton in the third quarter from $133 per ton in the prior year. Cost of goods sold for recycled commodities increased 22%, primarily due to an increase in rebates. Now, I will discuss changes in margin. Third quarter adjusted EBITDA margin was 28%, which compares to 28.9% in the prior year. The change includes a 30 basis point increase in landfill operating cost, a 40 basis point headwind due to a favorable legal settlement in the prior year and the 30 basis point increase in cost resulting from the hurricanes. Excluding these items, we had 10 basis points of margin expansion from strong open market pricing and volume growth, demonstrating the operating leverage in our business. I want to remind you that we provide a detailed schedule of cost of operations and SG&A expenses in our 8-K filing. Third quarter interest expense was $90 million, which included $11 million of non-cash amortization. Our adjusted effective tax rate was approximately 35% and benefited from favorable state tax settlements. We expect an effective tax rate of approximately 39.5% for the fourth quarter. Since we received a number of questions regarding the potential impact of tax reform, I'd like to make a few comments. As a statutory tax rate payer, we would be a direct beneficiary of tax reform. For example, if the federal tax rate has decreased from 35% to 20%, free cash flow would increase by approximately $180 million, or said differently for every 500 basis point reduction in the tax rate, free cash flow would increase by $60 million. Year-to-date adjusted free cash flow was $606 million, a 12% increase over the prior year after normalizing for the change in cash taxes. On a per share basis, adjusted free cash flow increased 14% over the prior year. Finally, as Don mentioned earlier, year-to-date, we've invested $385 million in acquisitions, including ReCommunity. At the same time, we successfully completed the sale of lower margin businesses for $81 million resulting in a net investment of $304 million to-date. Now, I will turn the call back to Don.
Donald W. Slager: Thank you, Chuck. Given the predictability and consistency of our business similar to prior years, we are providing a preliminary outlook for next year. We are currently midway through our annual planning process. Based on our initial reviews and assuming current business and economic conditions continue, we project the following for 2018. Adjusted EPS of $2.53 to $2.58 and adjusted free cash flow of $925 million to $950 million. This represents high single-digit growth in EPS and free cash flow per share, despite a $0.04 to $0.05 headwind from recycled commodity prices. Excluding the impact of recycled commodities, the business is on track to deliver double-digit growth in both EPS and free cash flow per share. We will achieve these results in 2018 by growing both price and volume for the sixth straight year executing our strategy to drive additional operating leverage in the business, effectively deploying capital to fund profitable organic growth and accretive acquisitions, and consistently and efficiently returning cash to our shareholders through dividends and share repurchases. Similar to prior years, we will provide detailed financial guidance for 2018 in February of next year. In summary, the current economic backdrop and industry fundamentals combined with our robust acquisition pipeline position us well to deliver another year of strong financial results. At this time, operator, I would like to open the call to questions.
Operator: Thank you. We will now begin the question-and-answer session. Our first question today will come from Hamzah Mazari with Macquarie. Please go ahead. Hamzah Mazari - Macquarie Capital (USA), Inc. Good afternoon. Thank you. The first question is just on operating leverage. I think, Chuck, you mentioned 10 bps margin expansion on high single-digit revenue growth, but at the same time, I think you talked about better leverage in 2018, maybe just walk us through what sort of costs normalize as you get into 2018, the hurricane, some of these landfill operating costs, do they go down. Just walk us through what changes in 2018 where the leverage is much higher than 10 bps.
Charles F. Serianni: Yeah, So, there's a couple of things that we're looking at, Hamzah, one would be, as you mentioned, the landfill operating costs also were obviously higher this year. We did see a sequential improvement in this operating cost from Q2 into Q3. And obviously into 2018, we continue to see a decrease in those costs as a percentage of revenue. So that would be one thing I would point to. The other thing is the SG&A line. We do right now have the full cost of our customer resource centers, included in our SG&A, all three centers. This time last year, we only had two of those centers opened, and as we had talked about, we're going to continue to see leverage in the SG&A line, specifically related to those customer resource centers. So those would be the two things that I would point to in particular. Hamzah Mazari - Macquarie Capital (USA), Inc. Great. And just maybe for Don, just any update on the commercial business? One of your smaller competitors highlighted some competitive pressures in certain urban markets. I know you guys are more diversified nationally, but just any color on what you're seeing in the commercial business? Thank you.
Donald W. Slager: Sure. Yeah. Overall right – we would tell you that it's still very rational in that business. You think about the yields we saw in small container business was 4%, still very strong. Small container volume growth was negative due to, as Chuck said in his commentary, moving away from the broker business. So we've been doing that – now steadily over a number of quarters, and we'll continue to do that in the next year. The real reason for it being negative then beyond that is just National Accounts. So we've lost our non-regrettable National Accounts, and we've taken up pretty hard line on making sure that, that portfolio was – is meeting the appropriate return. And as you know National Accounts business can be a little choppy that way. So overall though we would say it's pretty rational and we continue to see positive growth, container waste kind of flat quarter-to-quarter, but service increases still are greater than service decreases. So, we still think there's additional upside in the small container business for us. Hamzah Mazari - Macquarie Capital (USA), Inc. Yeah. Just a follow-up, I'll turn it over. On tax reform, you mentioned the $180 million, if tax rates go to 20%, and it's in the news, the 20%. What do you guys intend to do with the cash? Would that come back in terms of a buyback or how are you thinking about deployment of that cash? Thank you.
Donald W. Slager: Yeah. Thanks, Hamzah. So first I'd like to say that the $2 billion repurchase authorization that the board approved doesn't estimate that there'd be any tax reform, right. So, the $2 billion is based on our current performance, the current tax policy, et cetera. So, if you take a look at what we do historically, we've been pretty efficient returning cash to shareholders. Over the last seven years, we've returned about $5.5 billion to shareholders through buybacks and dividends. With this new authorization over the next three years, we expect to return about $3.5 billion to shareholders through buybacks and dividends. And that doesn't include any kind of tax reform. So, again, when we have cash, we put it to work. So, we put it to work in the acquisition pipeline, we return it to shareholders, as I just described, through sort of the normal channels. But that's what we do with it. All of this planning around cash and around our buyback strategy has us keeping our optimum leverage between 2.5 and 3 times. So, there really isn't a need to do anything with debt service or repay debt at this point. Hamzah Mazari - Macquarie Capital (USA), Inc. Okay. Thank you.
Operator: Our next question will come from Noah Kaye of Oppenheimer. Please go ahead.
Noah Kaye: Good afternoon, Don, Chuck and Nicole. Thanks so much for taking my questions. Maybe starting with your commentary on the robust pipeline, just maybe give us some color on where that's weighted to in terms of areas of the business, tuck-ins, with core solid waste, recycling, any kind of color would be helpful.
Donald W. Slager: Sure. Other than the ReCommunity deal, which was a large transaction by itself, once again we bought 26 facilities, 22 were on top of our existing markets, so it was a very nice tuck-in, if you will, to densify and give us more strength in our existing markets. Outside of that, majority was tuck-ins. There were no other really large transactions to speak of and that's what we think the majority going forward. So we'll continue to look at all opportunities large and small that fit our strategy. Again, we're in 240 marketplaces across the U.S. with 39 states. We will look at businesses that are tuck-ins in our current markets, that are contiguous to current markets where we can leverage management and knowhow, but primarily across our core businesses.
Noah Kaye: Okay, great. Thanks very much for that. And then, understanding that your guidance is preliminary for 2018, I wonder if you can just help us think as concretely as possible at this point how to kind of bridge from the midpoint of this year to next year's free cash flow guidance.
Charles F. Serianni: I will say this that we are anticipating margin expansion in our preliminary guide for next year. Obviously, what we do in our preliminary outlook is give kind of just the big building blocks here, but we'll get into a lot more detail, Noah, in February.
Noah Kaye: Fully appreciate it. Just wondering, I mean, I don't know if you're factoring in any kind of potential debt refi off of that. You talked about kind of keeping leverage optimal. But I mean, given the credit markets continue to be pretty healthy, how are you thinking about debt refi opportunity over the near and medium-term?
Donald W. Slager: We have over the course of the next three years or so a little over $2 billion of debt that is coming due. The coupon on that debt is anywhere from the high-3s into the 5s, and so we're looking to be opportunistic as we refinance that debt. If we were to refinance that at current levels, current treasury levels right now, there would be somewhere in the neighborhood of $30 million to $35 million worth of cash savings.
Noah Kaye: Okay, great. Thanks so much. I'll turn it over.
Operator: Our next question will come from Corey Greendale with First Analysis. Please go ahead.
Corey Greendale: Hey. Good afternoon. A couple of pretty quick questions. I understand you're not giving more specifics on the guidance but are you willing to say anything about either the GAAP tax rate assumption or the cash tax assumption baked into 2018?
Charles F. Serianni: Yeah. So as I said before, we're a statutory tax rate payer, so your 39.5% is what we're – what's currently in our model.
Corey Greendale: And cash tax charge?
Donald W. Slager: Yes. So cash tax is once again, a little over $100 million – little over 100% because we're still coming off of bonus depreciation. When we finally anniversary all the way through bonus depreciation we'll go back to a long-term average of just a little under 100% call it 95-ish-percent.
Corey Greendale: Okay. And then maybe I'll do a two-parter for my second question. Risk management costs have been elevated for a couple of quarters, sort of what's driving that, what's your expectation? Then my second question is, as you – I think you had sort of back-end loaded CPI increases and I know you're switching to other indexes, but should we expect given that that you may see higher levels of price in Q4 and going into 2018?
Donald W. Slager: So, in terms your risk management question, we had a reversal, a favorable development of prior claims last year that didn't repeat this year. So, that's why the year-over-year comparison looks a little less favorable. But that's not something that's long term indicative of the trend in risk insurance. In terms of your question on CPI, right now what we're projecting, what we're seeing as maybe CPI coming in a little about 2% for 2017, if that's the case, if that holds then in July of next year, July of 2018, we get a step up, we get that step up in our restricted pricing and that's probably were 10 basis points to 20 basis points of yield for us.
Corey Greendale: Excellent. Thanks for the answers.
Donald W. Slager: You're welcome.
Operator: Our next question will come from Joe Box of KeyBanc. Please go ahead.
Joe G. Box: Yeah, hey guys.
Donald W. Slager: Hey, Joe.
Charles F. Serianni: Hey, Joe.
Joe G. Box: So, landfill costs have crept up pretty much across the space and it seems like we're now going on about four years of volume growth there. So, I'm curious if it's possible to not just fix the cost issues there, but you know maybe aggressively pull the price lever a little more than you have?
Donald W. Slager: Yeah. So, we think that's a great idea, we've been talking about that as well. So, you know we talked a lot over the years about landfill cost and the value of these landfills and they're nearly impossible to replicate, they're expensive to build, to own – to own into perpetuity. So, we have been consistently raising landfill prices over the last several years. Most of the landfill volume that comes into our sites today, comes from municipalities. So, just like, we're working to move the appropriate escalator index, we use from CPI to something more like water, sewer, trash in our collection business, we're trying to do that in our landfill business as well. So, we're going to continue to focus on that. For us, some of the landfill costs that have been – that have been inflated, really have been from just a handful of facilities. So it's not, it's not broad based for us from that perspective, so that's why when Chuck said we think some of that landfill increase is going to come down, as we go through 2018 and we believe that we'll get those handful of sites operating better. But we agree, landfill pricing, when you look at the whole list of pricing, for us landfill price has been 1% and everything else is sort of 3%, 4%, when you get to average yield, so our infrastructure needs to be looked at.
Joe G. Box: Okay. I mean I guess as my follow-up then. I mean, is it reasonable to think then because we've seen volume flow in at the rate that we have that, we could be on the frontend of a step up or an acceleration in landfill pricing?
Donald W. Slager: Well, I just described what – when we're going to try to do, I mean, as we're talking to municipalities about extending contracts again the same conversation that has taken that $2.5 billion book of residential collection contracts and converted over $500 million of it now to an alternative index. Those conversations are now going to be had with the landfill customers as well or municipalities, the same thing is true, we've done that with on the recycling processing side, we've already converted about 80% of that book over to a better in more fair index or value sharing arrangement. So one by one, we're getting through that. And again as I said, landfills is kind of next on our horizon.
Joe G. Box: Understood. Okay. Thank you guys.
Operator: Our next question will come from Tyler Brown of Raymond James. Please go ahead.
Patrick Tyler Brown: Hey, good afternoon.
Donald W. Slager: Hey, Tyler.
Charles F. Serianni: Good morning, Tyler.
Patrick Tyler Brown: Hey, Chuck. So, I want to make sure I have the math right on the cash flow statement, you spent $138 million on acquisitions, you noted $385 million year-to-date. So, was all of the delta that $250 million, is that all ReCommunity, or is there some other stuff in there?
Charles F. Serianni: So, about $200 million or so was ReCommunity. And I don't have to say what the statement of cash flows in front of me. So, I'm not – I would have to look at the rest of it, Tyler.
Nicole Giandinoto: Yeah. Tyler, if you're looking at the statement of cash flow, remember that that's year-to-date.
Patrick Tyler Brown: Yes.
Nicole Giandinoto: Kind of acquisition cash paid on acquisitions. So, if you take the $385 million number and that we spoke to back out about $180 million for ReCommunity, which again included the 26 operating facilities and some tax attributes, we get back to a number close to what you see on the statement of cash flow.
Patrick Tyler Brown: Okay. Okay, that's helpful. And then well, so from a modeling perspective, assuming what we know now assume that all the acquisitions that you've done is all you do, do you kind of have what the revenue rollover impact would be in 2018 from those, and maybe what the rollover impact from the divestitures would be?
Charles F. Serianni: Yeah. So, a net number then would be revenue contribution is about 185 basis points.
Patrick Tyler Brown: Oh, okay, okay.
Charles F. Serianni: Yeah.
Patrick Tyler Brown: Okay, perfect.
Charles F. Serianni: Yeah, that number.
Patrick Tyler Brown: Okay, and so how much are you expecting to benefit from the call center consolidation?
Charles F. Serianni: Right now it's too early to tell. We'll give you more detail on that Tyler in February.
Patrick Tyler Brown: Okay. And just maybe last one here. But is there any way to quantify how much of the landfill operating cost was maybe extraordinary, I mean, is there, is there any number kind of that we can think about just maybe falling off in 2018?
Charles F. Serianni: You know, it depends on how quickly we can actually lower these costs. Keep in mind also that the majority of these costs have to do with us reducing leachate volumes that are actually in the landfills themselves in order to make them operate more efficiently. So, it really depends how quickly we're able to do that, right. So, these are costs that we're incurring today to really help the long-term effectiveness of the landfill. So, right now, I don't have a good estimate that I can give you in terms of the timing, but we do expect that they will go down in 2018.
Patrick Tyler Brown: Okay. And maybe, sorry one, one last one. But are you – when you talk about margin expansion next year, are you including the dilution from ReCommunity, so as we see it on the P&L?
Charles F. Serianni: Yes. I am including that.
Patrick Tyler Brown: Okay. Thank you.
Operator: Our next question will come from Michael Hoffman of Stifel. Please go ahead.
Michael E. Hoffman: Thank you, Don, Chuck and Nicole for taking my questions. On the operating leverage, if I can come back there's a multipart to it. 10 basis points but you also have recycling very favorable, so how do I adjust for the year-over-year 26% increase in recycling prices, clearly it says the margin leverage is better?
Donald W. Slager: Yeah. You get to keep in mind the costs that we incurred also Michael, associated with the recycling facilities. You know, the whole China National Sword, because of that as you, as you're very familiar, there was a higher quality that needed to be produced in our facilities, that created more cost. And so that offset some of the benefit that we saw associated with higher commodity pricing.
Michael E. Hoffman: Okay. So, you're saying that there's – well, that would actually make my case even stronger. So your margins in recycling is even lower. So, if I backed out recycling year-over-year like-to-like, the operating leverage of the garbage company is better than 10 basis points?
Donald W. Slager: It is better than 10 basis points, it's absolutely right.
Michael E. Hoffman: Yeah. That's what I'm trying to get at. What that number -
Donald W. Slager: Yeah. Michael without giving all the detail, when we constructed here the various component – parts of our business, we saw a really strong operating leverage in our small container business, in our large container business, whereas you know as density grows, margins grow with it. So that part of the business is working great. We had this noise around recycling, as Chuck described. And we did a lot of acquisition work. So, we've got some acquisitions startup costs in the quarter. The good news is, we did a lot of acquisitions; the bad news is, we had a lot of acquisition startup costs. So, we've also been investing in our digital platform, investing in some other fleet issues. As Chuck said, though, the leachate issues. So, and we're making decisions to run the business better that we think will all benefit us in 2018. But there's definitely margin expansion going on in the right parts of the business, that we expect. And since, we had such a strong quarter and we're still guiding to the high-end of the range and producing a lot of cash flow, we're making some other investments along the way.
Michael E. Hoffman: Okay. So following that line of thinking, what's the EBITDA and free cash flow implications of your penny in 2Q, and 4Q and your $0.05 to $0.06 in 2018 -- $0.04 to $0.05 in 2018 from recycling?
Nicole Giandinoto: Michael, it's a balance, call it say like 10 basis points, when you look into 2018. 10 basis points to 20 basis points.
Michael E. Hoffman: 10 basis points to 20 basis points on EBITDA?
Nicole Giandinoto: Yes.
Michael E. Hoffman: Okay. And then in your free cash flow outlook for next year. If you start with a $253 million and work upwards it clearly there's margin expansion. But when you start thinking about the components of cash flow from ops, it looks like you have a pretty healthy working capital use going into 2018. And I'm trying to understand why that would be versus your normal pattern.
Donald W. Slager: Yeah. No, Michael, we're not seeing that. We're not seeing any unusual increase in working capital.
Michael E. Hoffman: Okay. All right. We'll go back and fine-tune the model more then. All right. Thanks for taking my questions.
Charles F. Serianni: Take care, Michael.
Michael E. Hoffman: Yeah.
Operator: Our next question will come from Brian Maguire of Goldman Sachs. Please go ahead.
Brian Maguire: Hi. Good afternoon. Just following up on some of the questions on the initial outlook for the cash flows next year. I'm just wondering if you can give any initial look at CapEx either on a dollar basis or percentage of sales or even just maybe directionally from the 2017 levels where you think you'll be landing in 2018.
Charles F. Serianni: Yeah. So, our CapEx, as a percentage of revenue, has trended about 10%, maybe a little bit less than that. And we right now are expected to be at a similar level for 2018.
Brian Maguire: Okay. Thanks. And it seems like this year's cash flow and next year's guidance implies maybe something in the very low-30s as a percentage of EBITDA. And I know comparing you to others in the industry isn't totally fair. You've got a different tax rate, different capital structure, lots of different things. But some of the others have made a little bit of progress moving that up recently. I'm just wondering if you're thinking about the number that we're at this year or next year, there's any sort of unique things that might go away. Maybe it's the CapEx coming down, maybe it's like you see those cash taxes reverting back a little bit. But where do you sort of see that free cash flow as a percentage of EBITDA settling out in a more normalized environment?
Donald W. Slager: Yeah. We think that for next year, it'd probably be relatively in the same zone as a percentage of EBITDA. Longer-term, we are looking at the tax side of the equation to see if there's anything that we can do there to help lower the cash taxes we pay. We're obviously very much focused in on our post closure liabilities also, making sure that we're being intelligent about how we spend that cash. And looking at our cash interest rate also and seeing what we can do in terms of lowering the amount of cash that we're paying there. So, we are focused in on it. I would say that we're working very diligently on it. I wouldn't say that we've got a lot of arrows in the quiver here in order to kind of slay this dragon. The one huge benefit for us would be tax reform. So, just doing the math very quickly, if we were to get tax reform, if the federal tax rate were to go from 35% down to 20%, that would increase the conversion from where we are right now, to your point, in the low 30s almost to 40%. So it would be huge for us.
Charles F. Serianni: Yeah. And Brian, remember that, as we grow, growth requires CapEx. And at the same time, we're still working on extending the useful life of the fleet. So, we're only partway through that initiative and we'll see benefit from that yet in 2018 and a little bit beyond.
Brian Maguire: Okay. And just shifting to the recycling topic, you mentioned I think in response to one of prior questions that you have a little bit of expenditure to try and get to the tightened spec in China. I guess they're looking to get things down to as low as 0.3%, which I think most people we've talked to said, it's pretty unachievable. I guess, maybe if you could just give your own comment as to how realistic that is given the current set of technologies that we've got in the industry and where do you think that this spec will eventually settle out at?
Donald W. Slager: Well, I think it's too early to tell. Again, we've seen this type of thing before. Everyone agrees, they're really serious about it. But, again, we think we have a better starting point than a lot of people have. So, I know there's been a lot of things in the press, people talking about how this has impacted them more negatively than it has us. But, one, again, we're just starting by a better place. We've invested a lot in our facilities over recent years to make them more efficient to produce a high-quality pack to reduce residual. And so we're going to continue to work on it like everybody else and it'll level out at some point, but I think it's too early to tell where they'll really end up. At the end of the day, they need fiber and packaging demand isn't going to go down in my mind. It's not going to go down on my household, I'm pretty sure. So, we think we're going to be in a good place when it all shakes out.
Brian Maguire: And have you seen any pickup in export orders yet? I think we've been hearing kind of maybe that some of the import licenses for 2018 will be granted maybe later this month, but just wondered if there's any people who have some licenses leftover that they're using now or any pickup just in the last couple of weeks there?
Donald W. Slager: Yeah. So for us, we have never had an interruption in shipping, right. So we don't warehouse our inventory material. We don't play the market. We consistently flow material out of our facilities, ship it regularly, we've never had a back up, we haven't landfilled any material. I know people have reported they have had to, we have not. So, we haven't seen any interruption in the flow of the business. So the rate structure is a little different story, but we've seen no interruption in that, as I said in my comments we've had longstanding relationships with good reputable partners across the globe. Again we ship a fair amount of our material domestically, even though we understand it's a global market. But China, now India, South Korea and then the list goes on. So we've got a lot of outlets and we've got a lot of great partners. And as it settles down I think we'll be in a good place.
Brian Maguire: Okay. Just one last one for me. Can you -
Donald W. Slager: I would back up by this, willingness to pay for recycling in the U.S. is on the increase. So we continue to report for instance in our open market business – our open market recycling customers are paying 90% of the rates they pay for solid waste because they're willing to pay. And so, we need to take that same approach across our residential business, across our franchise business. The customers are saying they're willing to pay for it and they are. And because they value the idea of recycling and sustainability. And their viewpoint is simply if I'm going to carry it out to the curve, I'm okay paying garbage prices, I just want you to do something positive with it, right. So and I want you to prove to me that you do. And that's what we're doing and it's working. So it's been very effective in the open market. Now, we've got to get busy moving it into some of these longer term contracts. But the consumerism of recycling is on the upswing and that's where people have to understand.
Brian Maguire: Okay. Thanks for those comments. Just one last one. I can't remember if you said anything in the prepared remarks, if you did I apologize, but any expected benefit in the fourth quarter or 2018 from some of the hurricane cleanup activities?
Donald W. Slager: Yeah. So, as we said we got about a penny negative from total hurricane net-net in Q3. We're going to have kind of flat impact in Q4, and then we'll get that trickled in benefit into next year. So, think about it, three different hurricanes were, you know enough about what happened in Houston, but we've got a lot of landfill space in Houston, so we're going to benefit there on the landfill side, and then to the construction material that comes through Puerto Rico is a similar story, although there's much more devastation, but we're well positioned there with landfills. We've got a great workforce in Puerto Rico. The people there got back to work within seven or days to nine days of the hurricane. So, we're one of the first ones to get back to work and landfills are in good shape. So, where we have landfills, we'll get some benefit as we go through time. And then, the Florida hurricane really hit for the most part of the Keys, and Marco Island, Naples and we're just kind of in that market. So, we just maybe lost one day of work in the process, and not a lot of benefit there. So anyways, well it'll just trickle in as they rebuild, and we're heavily situated prepared in the market with great assets and great people and we'll get our fair share of that business.
Brian Maguire: Okay. Thanks very much.
Operator: Our next question will come from Andrew Buscaglia with Credit Suisse. Please go ahead. Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC Hey, guys, just a couple of quick ones, most of the good ones are taken. So, if you could comment, I don't know if you had said this, but does your 2018 preliminary guide contemplate any buyback. I guess it is too many any in there.
Charles F. Serianni: For the share repurchase, Andrew? Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC Yeah. Yeah.
Charles F. Serianni: Yeah. Yeah, it does. It does contemplate the buyback. Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC Okay. So can you comment how much are -
Donald W. Slager: Well -
Charles F. Serianni: Yeah. We won't give you. Yeah. We won't give you that. We don't have that detail right now, we'll give it to you in February. Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC Okay. Thought so. And then just on the January of 2018 when you announced those organizational layer and resource center changes exactly, which line items do those would be model those into. I mean, is it just SG&A?
Charles F. Serianni: Yeah. It is in SG&A, that's correct. Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC Okay. All of those. Okay.
Charles F. Serianni: Yeah. Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC Okay. That's all I need to know. Thanks.
Charles F. Serianni: Okay.
Operator: At this time, there appear to be no further questions. Mr. Slager, I'll turn the call back over to you for closing remarks.
Donald W. Slager: Thank you, Alison. To conclude, we are very pleased with our third quarter performance, and we are well positioned to achieve our full-year 2017 earnings and free cash flow guidance. We will continue to manage with the business to create long-term shareholder value and remain focused on executing our strategy of profitable growth through differentiation. I would like to thank all Republic employees for their hard work, their commitment, and their dedication to operational excellence, and creating the Republic way. Thank you everybody for spending time with us today. Have a good evening and have a great and safe weekend.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.